Operator: Thank you for standing by. My name is Liz, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Tidewater Third Quarter 2025 Earnings Call. [Operator Instructions] I would now like to turn the call over to West Gotcher, Senior Vice President of Strategy, Corporate Development and Investor Relations. Please go ahead.
West Gotcher: Thank you, Liz. Good morning, everyone, and welcome to Tidewater's Third Quarter 2025 Earnings Conference Call. I'm joined on the call this morning by our President and CEO, Quintin Kneen; our Chief Financial Officer, Sam Rubio; and our Chief Operating Officer, Piers Middleton. During today's call, we'll make certain statements that are forward-looking and referring to our plans and expectations. There are risks, uncertainties and other factors that may cause the company's actual performance to be materially different from that stated or implied by any comments that we're making during today's conference call. Please refer to our most recent Form 10-K and Form 10-Q for additional details on these factors. These documents are available on our website at tdw.com or through the SEC at sec.gov. Information presented on this call speaks only as of today, November 11, 2025. Therefore, you're advised that any time-sensitive information may no longer be accurate at the time of any replay. Also during the call, we'll present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP financial measures can be found in our earnings release located on our website at tdw.com. And now with that, I'll turn the call over to Quintin.
Quintin Kneen: Thank you, West. Good morning, everyone, and welcome to the Tidewater Third Quarter 2025 Earnings Conference Call. I'll start as usual by providing some highlights of the third quarter, updating you on our current view on capital allocation and then discussing the offshore vessel market and our outlook on vessel supply and demand. West will then provide some additional detail on our financial outlook and give you our 2026 guidance. Piers will give you an overview of the global market and global operations, and then Sam will wrap it up with our consolidated financial results. Third quarter revenue and gross margin nicely exceeded our expectations. Revenue came in at $341.1 million due primarily to a higher-than-expected average day rate and slightly better-than-anticipated utilization. Gross margin came in at 48% for the quarter, about 200 basis points better than our guidance. The primary factor driving the increase in average day rate was the benefit of our fleet rolling on to higher day rate contracts. Additionally, fleet utilization continued to benefit from the substantial drydock and maintenance investment we've made over the past few years, driving meaningful uptime performance compared to our expectations. During the third quarter, we generated $83 million of free cash flow, bringing the first 9 months of 2025 total free cash flow to nearly $275 million. Free cash flow generation we continue to demonstrate alongside balance sheet and liquidity enhancements we completed during the third quarter provides us with a substantial degree of confidence in our ability to deploy a significant amount of capital over time to drive shareholder value. Based on the estimate for 2026 that West is going to cover shortly, absent any cash used in M&A or share repurchases, we will be ending 2026 with close to $800 million in cash, which, while we like the pace of cash flow generation, we would find unacceptable from an allocation of capital perspective. We currently retain our $500 million share repurchase authorization, representing approximately 18% of shares outstanding as of yesterday's close. As discussed on last quarter's earnings call, we see this share repurchase authorization as a long-term program that we will lean into based on competing capital allocation opportunities we have before us. In this regard, we did not repurchase any shares during the past quarter due to these competing priorities. Our current leverage position is such that we feel comfortable in potentially using a substantial amount of cash in an M&A transaction and are comfortable adding leverage to the business provided that we have confidence that the near-term cash flows provide the ability to quickly delever back to below 1x net debt to EBITDA, very similar and consistent with what we have done in our prior acquisitions. Importantly, given our current balance sheet, future cash flow generation and liquidity position, M&A and buybacks are not necessarily an either/or proposition. However, how certain M&A discussions progress and whether or not they ultimately come together can shift our cadence and immediate tactics in executing share repurchases. But I don't want to leave you with the impression that we are limited in the long run on our ability to execute on both. Much of the commentary for offshore activity during 2025 has been on the pace and amplitude of the recovery from a relatively muted period of tendering for near-term offshore drill projects. We believe there are a number of factors that have precipitated this white space dynamic, not the least of which have been macro uncertainties, OPEC production and a relatively tepid commodity price environment and supply chain bottlenecks for critical offshore infrastructure. By all accounts, including observations by the drilling contractors, recent public commentary and conversations with our customers, it appears that the next few quarters represents a shoulder period of drilling activity ahead of an uptick towards the end of 2026, with increasing conviction on the state of drilling activity into 2027 and beyond. We believe this to be a reasonable expectation given our conversations, but also more broadly evaluating expected total global hydrocarbon demand projections and what appears to be a hydrocarbon supply curve that will be in a slight surplus in 2026, moving to a meaningful deficit thereafter. This should result in capital expenditures to bring on new production ahead of the shortfall, providing further confidence to the uptick in drilling activity that appears to be developing as evidenced by the recent tendering activity for offshore drilling units. In the intervening period, Tidewater is in the advantageous position compared to many in the offshore sector and that we are the beneficiary of a wide variety of offshore activities, all of which remain robust. Production support is a critical piece of our business, comprising roughly 50% of what we do today. This base level of demand remains steady and is supported by current commodity prices. The continued proliferation and deployment of incremental FPSO units is providing additional vessel demand. FPSO support has always been a component of our business, but the volume of units that are delivering and expected to deliver over the coming years is fairly unique in the history of the offshore industry. In addition, many of these FPSOs are being deployed into frontier areas that have limited shipping infrastructure and are in challenging weather and wave conditions, which should ultimately disproportionately benefit our larger vessel classes. On the EPCI and Offshore Construction segment of our business, our observation has been that backlog for these projects usually have a few years of lead time before converting into vessel demand. We've seen that backlog begin to convert into a meaningful increase in demand. And based on customer conversations, that demand is set to further strengthen in 2026 and in 2027. These demand drivers are important components of our business and help mitigate some of the near-term softness we see in the drilling market. In the longer term, the structural growth in these markets will continue to put added strain on vessel supply. And when drilling activity growth does resume in earnest, vessel supply will be that much more constrained by the growth in these other sectors, providing even more leverage to vessel owners than what we saw in the 2022 to 2024 period. As important as these factors are, particularly in straining vessel supply and a drilling recovery, in the near term, these factors don't adequately offset the absence of additional drilling activity to provide us the ability to aggressively push up day rates. However, we do expect this nondrilling demand to help us retain our utilization and day rates next year. To the extent drilling activity comes in a bit stronger than what we are guiding today, we would expect some additional benefit to our 2026 financial performance. We continue to believe that tight vessel supply will remain a tailwind for the sector and that the structural limitations that impact new build investment decisions will limit any significant new build vessel programs for the foreseeable future. In summary, we are pleased with the cash flow that our business is generating. We are optimistic about the long-term outlook for the offshore vessel industry and remain exceptionally well positioned to drive earnings and free cash flow generation over the coming years. Additionally, we are in the fortunate position of having a significant amount of capital to deploy, and we remain committed to deploying this capital to its highest and best use for our shareholders. And with that, let me turn the call back over to West for additional commentary and our financial outlook.
West Gotcher: Thank you, Quintin. At the end of the third quarter, we had $500 million of share repurchase authorization outstanding. Our share repurchase capacity is a function of the refinancing that we completed during the third quarter of 2025. Under the bonds, we are unlimited in our ability to return capital to shareholders, provided our net debt to EBITDA is less than 1.25x pro forma for any share repurchase. Under the new revolving credit facility, we are also unlimited in our ability to repurchase shares provided that net debt to EBITDA does not exceed 1x. Under the revolving credit facility metric, to the extent that we exceed 1x net leverage, we still retain the flexibility to continue returns to shareholders, provided the free cash flow generation is in excess of cumulative returns to shareholders. Our net debt-to-EBITDA ratio at the end of the third quarter was 0.4x. Specific discussions of these limitations can be found in the respective agreements filed with the SEC. Our philosophical approach to leverage remains consistent. Whether it be for M&A or share repurchases, our litmus test is that so long as we can return to net debt 0 in about 6 quarters, we are comfortable to proceed with a given outlay of capital. From time to time, we may exceed this threshold only for M&A, depending on the visibility and durability of the acquired cash flows, but this is our general approach. This approach is important to keep in mind as we navigate the opportunities before us and also informs how we evaluate a combination of M&A and share repurchases. Our intention is not to use leverage for leverage sake, but rather to efficiently deploy capital while maintaining the strength of our balance sheet. We remain opportunistic on share repurchases, and we'll look to execute share repurchase transactions when suitable M&A targets are not available. Turning to our leading-edge day rates. I will reference the data that was posted in our investor materials yesterday. Broadly, our weighted average leading-edge day rate for the fleet was down marginally in the third quarter compared to the second quarter, primarily a function of our midsized PSVs in West Africa and larger PSVs in the North Sea. Rates for these vessels were resilient elsewhere around the world. We did see a nice uplift in our largest class of anchor handlers with contracts in Africa and the Mediterranean and a bit of a movement up in our smallest PSVs. During the quarter, we entered into 34 term contracts with an average duration of 7 months as we look to a strengthening market as we progress into the back half of 2026. Turning to our financial outlook for the remainder of 2025, we are narrowing our full year revenue guidance to $1.33 billion to $1.35 billion and a full year gross margin range of 49% to 50%. We've narrowed our range for the remainder of the year with the revenue outperformance in the third quarter bringing up the low end of the range, and we've lowered the high end of the range due to a few projects ending earlier than anticipated in the Americas and as we expect a bit more idle time in West Africa as we close out the year. We now expect utilization to be roughly flat sequentially as the benefit we expected from lower drydocks is now offset by the lighter-than-anticipated activity I just mentioned. The midpoint of our revenue guidance range is approximately 99% supported by year-to-date revenue plus firm backlog and options for the remainder of the year. Turning to the 2026 outlook. We are initiating a full year 2026 revenue range of $1.32 billion to $1.37 billion and a full year 2026 gross margin range of 48% to 50%. We anticipate a relatively consistent quarterly cadence of revenue generation and margin profile throughout the year. Our expectation is for a relatively even year with the potential for uplift depending on the strength of drilling activity picking up towards the end of the year. Our firm backlog and options represent $316 million of revenue for the remainder of 2025. Approximately 78% of available days for the remainder of the year are captured in firm backlog and options with our larger and midsized classes of vessels retaining slightly more availability to pursue incremental work as compared to our smaller vessel classes. Looking to 2026, our firm backlog and options represent $925 million of revenue for the full year, representing approximately 69% of the midpoint of our 2026 revenue guidance. Approximately 57% of available days for 2026 are captured in firm backlog and options. Our full year revenue guidance assumes utilization of approximately 80%, providing us with 11% of capacity to be chartered if the market tightens quicker than we are anticipating. Our largest class of PSVs retain the most opportunity for incremental work, followed by our midsized anchor handlers and small and midsized PSVs, largest anchor handlers. Contract cover is higher in the earlier part of the year with more opportunity available later in the year. The bigger risk to our backlog revenue is unanticipated downtime due to unplanned maintenance and incremental time spent on drydocks. With that, I'll turn the call over to Piers for an overview of the commercial landscape.
Piers Middleton: Thank you, West, and good morning, everyone. First off, as both Quintin and West have mentioned, our overall long-term outlook for the offshore space remains very positive for the OSV market. And while we have some short-term headwinds to navigate through, our and the industry's expectations are that as we get to this time next year, we will start to see that expected uptick in drilling demand that everyone has been so vocal about, which layered on to the record EPCI backlog should bode well for OSV day rates in the latter half of 2026 and into 2027. OSV supply growth is expected to remain very moderate, supporting market dynamics overall with the OSV order book of 134 units according to Clarksons Research, still representing roughly 3% of the current fleet, reflecting limited capacity for supply growth. Newbuilding activity in the OSV space continues to be subdued, and we see no signs of significant new supply entering the market in the foreseeable future. Turning to our regions and starting with Europe. We saw continued pressure on day rates, mainly in the U.K. However, utilization across the whole region compared favorably to previous quarters as our teams worked hard to keep the boats working in the U.K., Med and Norway. Uncertainty over the U.K. energy profits levy remains. However, market chatter suggests that the U.K. government may soften its approach to the next budget on the 26th of November, which, if this happens, will be an unexpected shot in the arm for the region as we go into 2026. The longer-term outlook for both Norway and the Med remains positive with our teams now working on several multi-boat tenders all to start during 2026. Any awards, however, are not expected until the early part of next year, with much of the work kicking off in the latter half of Q2 2026. In Africa, we continue to see pressure on day rates, which as we mentioned last quarter, was in part because of the slowdown in drilling in Namibia, where we have been very active over the last 6 or 7 quarters, supporting operations with our largest 900 square meter class of PSV. With the anticipated slowdown in drilling, the team has been focused on winning work elsewhere in the world, and we can expect to see a few vessel movements out of Africa over the next few quarters as we mitigate against some of the expected softness in the first half of 2026. Longer term, we still remain very bullish for the region with recent announcements of Total lifting force majeure in Mozambique, Shell announcing they are returning to Angola after a 20-year absence to restart deepwater exploration with all the Orange Basins to still be developed, we remain very confident that the region will bounce back very quickly once all these pieces fall into place. In the Middle East, vessel demand and day rates continue to strengthen in the quarter, driven mainly by the EPCI contractors operating in the Kingdom as well as additional incremental demand in Qatar and Abu Dhabi. As we have mentioned previously, this is a very fragmented market, which makes it much harder to drive rates aggressively. However, we continue to see supply constraints in certain vessel classes. And as demand has been increasing, the team has been doing a great job pushing day rates during 2025. And with no significant slowdown in demand in sight, we expect day rate momentum to continue into 2026 and beyond, especially with the recent news that Saudi Aramco plans to start reactivating some of the rigs that they had suspended last year. In the Americas, we had a solid quarter with day rate and utilization improvement primarily came from our operations in the Caribbean and Brazil. The Gulf of America and Mexico both continuing to be flat demand. Brazil or Petrobras specifically, is likely to face some short-term headwinds in 2026 as the NOC is rethinking its offshore logistics model and financial strategy as Brazil enters into an election year in 2026. Longer term, we don't expect any slowdown in drilling or production demand in Brazil. However, we may see some Petrobras specific projects moving to the right as the politics around the election push start times close to the end of 2026 or even the beginning of 2027. Lastly, in Asia Pacific, Q3 saw a solid jump in both day rates and utilization as projects in both Australia and Asia continued on from Q2. We have seen some pressure unnecessarily in our view in Australia on day rates with competitors. But more broadly in the region, day rates for our larger class of vessels have held up well. And looking out into 2026, we see some positive signs of various drilling projects coming back to the region from Q2 onwards after a bit of a hiatus during the majority of 2025 caused by various political machinations in certain areas. Overall, we're very pleased with how Q3 has turned out and how our teams are focused on delivering strong results even with the short-term white space headwinds to contend. So even with the short-term headwind, we remain very optimistic on the long-term fundamentals for our business, still being very much in the shipowners' favor for some time to come. And with that, I'll hand it over to Sam.
Samuel Rubio: Thank you, Piers, and good morning, everyone. At this time, I would like to take you through our financial results. My discussion will focus primarily on sequential quarterly comparisons of the third quarter of '25 compared to the second quarter of 2025, including operational aspects that affected the third quarter. As noted in our press release filed yesterday, we reported a net loss of $806,000 for the quarter or $0.02 per share. Included in the net loss was a $27.1 million charge related to the early extinguishment of our debt, which will be discussed later. For the third quarter, we generated revenue of $341.1 million compared to $340.4 million in the second quarter, essentially flat quarter-over-quarter, but about 4% higher than our expectation. Third quarter average day rates of $22,798 were 2% lower versus the second quarter. We saw a nice increase in active utilization from 76.4% in the second quarter to 78.5% in the third quarter, due mainly to the decrease in idle and drydock days as we saw a lighter drydock load in the back half of the year compared to the first half of the year as expected. Gross margin in the third quarter was $163.7 million compared to $171 million in the second quarter. Gross margin percentage in the third quarter was 48%, nicely above our Q3 expectation, but below our Q2 margin of 50%. The margin outperformance versus our expectation was primarily due to higher-than-expected day rates and utilization, combined with a decrease in operating costs. Lower operating costs were driven primarily by lower crew salaries and travel costs, combined with lower supplies and consumables expense due to fewer idle and repair days, offset somewhat by higher R&M expense. The margin decrease versus Q2 was due to an increase in operating costs. Operating costs for the third quarter were $177.4 million compared to $170.5 million in Q2. The increase in cost is due primarily to an increase in salaries and travel, R&M and consumables with continuing FX impacts also contributing. Adjusted EBITDA was $137.9 million in the third quarter compared to $163 million in the second quarter. The decrease is due to the previously mentioned lower gross margin as well as a sequential lower FX gain. G&A expense for the third quarter was $35.3 million, $4 million higher than the second quarter due to an increase in professional fees. We are projecting G&A expense to be about $126 million for 2025, which includes about $14.4 million of noncash stock-based compensation. For 2026, we are projecting our G&A costs to be about $122 million, which includes approximately $13.4 million of noncash stock-based compensation. We conduct our business through 5 operating segments. I refer to the tables in the press release and segment footnotes and results of operations discussions in the 10-Q for details of our segment results. In the third quarter, as mentioned, we saw overall revenues decrease slightly sequentially. However, results varied by segment with our APAC, Middle East and Americas revenue increasing. These increases were offset by decreases in Europe and Mediterranean and African regions. Gross margin versus the previous quarter increased in 4 of our 5 regions with our Europe and Mediterranean regions seeing a decrease of about 12 percentage points. The increase in the Middle East region was due to increases in average day rates and utilization, while operating expense was essentially flat versus Q2. The increase in the Americas region was due to increases in average day rates and utilization, offset by a 2% increase in operating expenses. The improvement in utilization was primarily due to fewer drydock idle and mobilization days. The increase in the APAC region was primarily due to a 7-point increase in utilization and a 5% increase in average day rates, offset by higher operating costs, primarily driven by higher salaries due to movement of some Southeast Asia vessels into Australia. The increase in utilization was primarily due to lower idle and repair days. Africa's gross margin percentage was marginally higher versus the previous quarter and the decrease in our Europe and Mediterranean region was driven by an 11% decrease in day rates, combined with a 6 percentage point decline in utilization as well as an increase in operating costs. The cost increase was primarily due to higher R&M and higher fuel expense due to lower utilization. The decrease in utilization was due to higher drydock and repair days as well as an overall weaker spot market compared to a very strong Q2. We generated $82.7 million in free cash flow this quarter compared to $97.5 million in Q2. The free cash flow decrease quarter-over-quarter was primarily attributable to lower cash flow from operating activities, lower cash proceeds from asset sales. For a while now, I have mentioned that we had received -- we had not received payment from our primary customer in Mexico. Although we did not receive payment from them prior to the end of the third quarter, subsequent to the quarter end, we did receive a payment of $7.4 million, and we expect to receive additional amounts prior to year-end. Our outstanding AR balance at the end of September before the payment was made represented approximately 17% of our total AR and other receivables. We will continue to monitor and assess the situation closely. As we communicated on our previous call, we successfully refinanced our 3 previous secured and unsecured debt instruments to a single longer tenured unsecured structure, and we also entered into a senior secured 5-year credit agreement, which provides for a $250 million revolving credit facility, a $225 million increase over previous revolving credit. As part of the refinancing, we recognized a charge of $27.1 million or about $0.55 per share related to the early extinguishment of the previous debt instruments. As a result of our new debt structure, we will only have small debt repayments that are related to the financing of recently constructed smaller crude transport vessels. We have no payments until 2030 on our new unsecured notes. We incurred $17.6 million in deferred drydock costs in Q3 compared to $23.7 million in the second quarter. In the quarter, we had 943 drydock days that affected utilization by about 5 percentage points. For the year, we're projecting drydock costs to be about $105 million, which is down about $2 million from our prior call. The decrease is due to the net effect of changes in timing of our various 2025 projects with some push to 2026. In addition, we see savings generated from projects completed for the remainder of the year. For 2026, we are projecting drydock costs to be $124 million. Included in that number is $21 million in engine overhauls and $7 million of carryover projects from 2025. We are expecting drydock days to affect utilization by 6 percentage points. In Q3, we incurred $5.1 million in capital expenditures related to ballast water treatment installations, DP system upgrades and various IT upgrades. In addition, we exercised an option to purchase a vessel that we had been operating in our fleet for the past several years under bareboat lease. This purchase option was significantly below market value and allows us to keep a high-quality young vessel in our own operated fleet. The purchase option is reflected in the financing section of the cash flow statement. For the full year, we project capital expenditures of about $30 million, which is down $7 million from our previous forecast. Similar to our drydock projects, the cost savings are due to timing of projects that will be done during drydocks deferred to next year. For 2026, we are projecting capital expenditures to be approximately $36 million, which includes the $7 million carryover from 2025. In addition to this year, we have 2 other vessels under a leasing arrangement that we intend to purchase in 2026 for approximately $24 million. In summary, Q3 was another strong quarter from an operations and execution standpoint. We delivered both strong financial results and free cash flow. Our balance sheet is in an excellent position, and we are well positioned to continue to drive earnings and generate meaningful free cash flow in the future. The industry long-term fundamentals remain very strong, and we remain very optimistic about the opportunities that lie ahead for Tidewater. With that, I will turn the call over to Quintin.
West Gotcher: Thank you, Sam. Liz, would you please open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Jim Rollyson with Raymond James.
James Rollyson: Quintin, if I kind of take some of your comments around how the market is shaping up at this stage for '26, I'm curious your thoughts on -- it seems like the production support end of the business is steady to growing with your comments about FPSOs kind of over the next coming years. The construction market has been steady to strong. And really, it's been the rig market that's kind of been the differentiation between you guys having the pricing leverage you had before and not. And I'm curious, as that starts to return, but you're seeing the production support market continue to grow. Do we need to get back to the same rig levels we were at, at the peak in '24 to get your pricing back? Or does that actually come a bit sooner because you've soaked up some capacity into the production market since then, do you think?
Quintin Kneen: Jim, thanks for the question. And I think you summed it up really well. No, because of the increasing activity in both FPSOs and EPCI and Subsea broadly, I would expect that we would get there sooner. So -- and there's also been vessel attrition over the intervening 2 years that I think will help us get there sooner regardless. But no, I would love to see the drilling activity get back to where it was in '24 because I think that's going to give us the ability to push day rates again at that $3,000 and $4,000 a day per year level, which is really what we need in this industry to get back to earning our cost of capital. We need a couple of years of that.
James Rollyson: Right. Okay. That's helpful, and that's what I figured. And then if I read between the lines and some of your comments, you talked about capital, where capital flows between buybacks, between M&A potential. And obviously, this quarter, you guys built a lot of cash and didn't buy back anything and you didn't really buy anything. But I'm assuming kind of the way you operate that the lack of share repurchases in this quarter maybe suggests that you're at least looking at some M&A opportunities that you're kind of holding some dry powder for. Not that I expect you to tell me who you're buying, when that's happening or anything like that, but I'm just curious, is that an accurate read that at least you're pursuing some things that could happen and maybe that's why you didn't do any share repurchases this quarter?
Quintin Kneen: Jim, a very thoughtful and great question. Allow me to say that we had material nonpublic information during the quarter, but I just have to leave it at that.
James Rollyson: Okay. Appreciate that color and good job, and look forward to how things play out as we go into '26.
Operator: Your next question comes from the line of Fredrik Stene with Clarksons Securities.
Fredrik Stene: And appreciate all the detailed commentary as always. I wanted to dive a bit into the guidance for 2026, and I must say that I was a bit surprised that you gave it during the third quarter since you gave it at the fourth quarter for last year, but clearly positive to see that you have confidence enough in next year to guide at this point. With that as a preface, I wanted to ask if you could help me with a bit of granularity when it comes to which regions would be of course more exposed to open capacity, which regions are well covered, et cetera, when we think about this 69% midpoint revenue number that you gave, West, and the 57% of available days that were booked. Is there any sort of regional discrepancies going into next year, some regions to watch closer when we try to assess whether or not you'll hit that guidance or even outperform?
Quintin Kneen: Listen, thanks for the question. I'm going to give a quick response, but then I'm going to hand it over to West and Piers because they've got more detail on that. But as it relates to the guidance timing, we just think it's appropriate at this point in the year to give people guidance. And if we can give people guidance at this point in the year that is somewhat firm, we're going to do it. This year, we have a little more confidence than we had last year. And I think that we could characterize this year's guidance as kind of a base case. We're hopeful to see that upside in the latter part of '26, but we are very confident that we could deliver a year in '26 that was at least as good as '25. And so we wanted to get that information out. But as to the regional breakup, let me pass it over to Piers because he's got more detailed knowledge.
Piers Middleton: Fredrik. Yes, I think that looking at it, we have -- Africa has a little bit more exposure towards the second half of '26, which is not unusual when we look out into -- for most years. And then Asia is a little bit more on the nearer term as we go into '26 as well. There's a little bit more exposure there, which again, as I sort of mentioned, we've got a number of things we've got in the -- we're working on at the moment. So maybe that changes as we work through things, but that exposure is primarily Africa and Asia as we look out through the year. Elsewhere, we've got fairly solid coverage, I would say, as we go into 2026.
Fredrik Stene: All right. And just as a follow-up to that one. You're talking about 69% from firm revenues and options. Are you able to give a split there or at least give some color on whether or not it's sensible that most of those options will be exercised given whatever price that are priced at.
Piers Middleton: I don't have the split on firm and options at hand at the moment. So -- but I would say we've got options which we do have the ones which were done a while ago. So we're very confident they will get -- will taken when they come.
Fredrik Stene: Just one super quick one at the end here, which doesn't really relate to any market. But in your 10-Q, you're talking about a case, call it, the Venezuela case where you are potentially owed around $80 million. And to my understanding, there's potentially a verdict by year-end. How should -- is this something to care about? Is there a chance that you'll be able to collect that money if it's going in your favor? Any commentary would be super helpful as more cash is obviously a positive.
Quintin Kneen: Fredrik, it's Quintin. The timing on these types of cases is so difficult. I mean this has been going on for 12 years now. So yes, we do feel that we're getting really close. But trying to call it whether it's the end of this year or the first half of next year, I would tell you, is really difficult. I would say that most people are thinking it's going to settle [indiscernible]
Operator: Your next question comes from the line of Josh Jayne with Daniel Energy Partners.
Joshua Jayne: Quintin, you alluded to it a little bit in the answer to the last question, but I'm going to go ahead with that anyway about confidence level. So as we sat here a year ago, there was a lot of questions about domestic energy policy in Saudi, and we just changed presidents and offshore white space. All of those went on to, I think, impact offshore activity over the course of '25. Do you get a sense that customers have a better sense of the playbook today and are more confident in the next 12 months, maybe more so than you were a year ago? Maybe just elaborate on that a little bit more would be great.
Quintin Kneen: I do just because we've had a year of dealing with this volatility and uncertainty, and we're getting a sense for which regions it impacts and what it doesn't. But also, we've gotten a real good view on OPEC and how they're releasing excess barrels into the market and how they're managing price expectations as they do that. So yes, I think that operators broadly have a better sense for where they want to go and how deep they want to go in particular regions. But let me look it over to Piers and Piers, you may have some other commentary to like add.
Piers Middleton: Yes. Josh, I think when we speak to our customers at the moment, they do seem to have a little bit more of a view as to where they think this is going to go. And you can start seeing that in some of the conversations and what you probably heard from the drillers in terms of second half of '26. We're seeing a lot more tenders and pretender type of discussions at the moment across all of our regions. So there's definitely a good undercurrent of noise coming out in terms of giving us that sort of positive outlook as we go into the second half of '26. I mean you mentioned Aramco, I mean they've already come out. I mentioned briefly about reactivating rigs they had suspended last year. So that's a very positive sign from that side. We're seeing a lot more activity in places like the Med and obviously, the Caribbean as well. So it's very positive in all the conversations we're having at the moment. So yes, customers seem -- they seem to have plans in place and they're starting to move on those plans, which I think is a positive sign for us.
Joshua Jayne: And then you talked about the 34 contracts that were signed over the course of the quarter for an average term of 7 months, the general consensus view has been we do see some uptick in rig activity in the second half of 2026. And just when I think about the timing, is that intentional on your part? Or is the duration of those contracts? Or is that just sort of where the market is today, what customers are willing to sign? Maybe just speak to that a little bit more.
Piers Middleton: It's really sort of where the market is today. I mean we've -- and I think I mentioned this on the last call, when we've had this sort of some expected softness or the white space that we talk about, we've obviously been chasing little bit of utilization. So some of those contracts are just to get us through into the second half '26. And I think the thing which we're very conscious of is keeping utilization up at the same time, making sure we don't overcommit to longer term because we believe in this uplift in the market in the second half of '26 and into '27, and we don't want to be locking in something which we think is a little bit subscale today. So some of the contracts we're signing now about just giving that cover and getting us into the second half of '26 is how we sort of been focusing in terms of commercial strategy.
Joshua Jayne: And then maybe if I could just squeeze one more in. I'd love to get your thoughts on just the newbuild fleet today. You highlighted the number of vessels, but then also just the ongoing attrition that happened over the last 2 years. Could you just frame that against the attrition that you're expecting over the next 12 to 24 months and your expectation if the number of vessels that are on order today all ultimately get built?
West Gotcher: Josh, it's West. I'll give a little bit of view and Piers or others want to chime in, that's fine. What we've seen over the past, I guess, a couple of years now is a handful of orders from folks in different parts of the world. For the most part, these are not coming from legacy industrial participants. You see some orders from, if you will, new entries into the industry. You do have some new builds that are -- that have been ordered down in Brazil against contracts, which we think is -- makes sense, especially given the rates that those reportedly have been won at. But as of today, again, it's roughly 3% of the fleet across both PSVs and anchor handlers that have been ordered. Now what does that mean? That matters as it relates to net new build additions or net incremental supply. And as we look out over time in an industry where the assets are 20- to 25-year live, that would tell you every year, you'd lose roughly 4% to 5% of the fleet. It doesn't always work out as elegantly as that because not all vessels are built kind of pro rata over time. But over the course of a few years, you would expect dozens, if not more, vessels to reach that 20- to 25-year life, at which point they should otherwise attrition. Now if you're in an economic environment such that spending a considerable amount of money to keep a vessel going, that's possible that, that can happen. But there is a finite life for a lot of these vessels. And so what we see is less new build activity or less new build vessels on order than what attrition would tell you would lead to net new supply once these vessels start to deliver. Now whether they ultimately deliver, I don't think there's any reason to believe they won't. If they're in a shipyard today and they're being built and they have the financing to do that, presumably, they should deliver. The question is on what time frame. A lot of these vessels haven't been built in a long time. And so there's some muscle memory that has to be put back in place at the shipyards. But I think it's fair to assume that they do indeed deliver. But against that attrition dynamic in our mind, does it create a net new boat? And if it doesn't, then we're still in as good of a place as we've been.
Operator: Your final question comes from the line of Greg Lewis with BTIG.
Gregory Lewis: Quintin, I realize you mentioned the non-tier public information around potential M&A. But beyond that, could you give us any color like as we think about potential opportunities? Clearly, you -- the company has a diversified fleet. It's interesting because I think some people like anchor handlers better than PSVs. As you think about the world evolving offshore, which it clearly looks like it's going to over the next 5 years, do we kind of have a preference for specific asset types? Or hey, we think asset prices are attractive. And if it's on the water, we want to buy it type view.
Quintin Kneen: Greg. So I will tell you that similar to some commentary I've made in the past. I mean we've been real focused in the Americas. And I will say that South America to us is probably more interesting than North America at this point. The vessel class, I would say large PSV is definitely a real preference, medium and large anchor handlers, not the extra large anchor handlers, but the medium and large anchor handlers for sure, too. I'm not looking really to stretch too far out of that right now, but we could. I mean I do like the Subsea market, but there's a -- you really need scale to get into that market appropriately. And so we'd have to really think hard about stretching further than the typical PSV and anchor handlers, but it's certainly a possibility based on the core competencies of managing vessels, managing crews and managing customers and things like that.
Gregory Lewis: Okay. And I appreciate that you -- in a market like West Africa, which is a key basin, you have there's a lot more medium sized than large vessels in your fleet. But I guess any kind of color on the kind of the -- what is keeping the larger vessels pricing stronger relative to the medium/small vessels? Is that mix of work? Is that scarcity of vessels? Any kind of commentary you can have around that?
Piers Middleton: Greg, it's Piers. It's -- I think just on the larger PSVs, I think it's a combination of all those. I mean it's -- they're always the go-to vessels that our customers want to get, size matters if they can get it. I wouldn't say there's a little bit of a scarcity and we have some -- we have obviously a very large fleet of those vessels around the globe. But I think when you're doing an EPCI contract or you're doing a drilling program in particular, there's definitely a need for as large PSVs you can get to put as much space on. So it definitely works to our advantage to have that fleet. You mentioned Africa. I mean, you just go through these waves occasionally where there's a little bit of a slowdown in activity. But we've been able to -- we are being able to -- there's enough work out there where we can reposition some of our larger PSVs into different regions. So it gives us that option and people prepared to pay to mobilize vessels to different places to support drilling and construction projects as well. So I think it's a combination of all the things that you mentioned in terms of what's allowing us to keep rates high enough, but could go higher always, of course, and that's where we're hoping to get as we go into the next half, next year, as Quintin mentioned.
Gregory Lewis: Okay. And then I guess it's on the last caller, I'll just ask one more. Around next year's guidance, thank you for that. I think somebody else mentioned that, that was great to see. I think it kind of shows you your kind of outlook on the market. But I guess I just had a couple of questions around that. One is, if we kind of think about -- I remember about, I don't know, maybe 1.5 years ago, you kind of -- we had some hiccups around maintenance and we've kind of been thinking about potential impacts to utilization. I guess, as we think about utilization for next year, are we kind of carrying through some cushion for those kind of always unexpected unplanned downtimes. And then just one other question, and I apologize, I was late dialing on. It seems like myself included, everybody expects a stronger half -- the back half of next year versus the front half. Any kind of view on how we think maybe the revenue shakes out in second half versus first half?
West Gotcher: So I'll start with the first part, Greg. We -- in the prepared remarks, we said the quarterly cadence of revenue next year, we actually see it to be fairly even. So it's not necessarily a back half weighted outlook. We did say, however, to the extent drilling comes back in a little bit stronger than what we currently are able to see, and that may influence the back half higher from what we've guided to. But right now, what we indicated was that the quarterly progression will be fairly even. In terms of down for repair time, as we've talked about. If you've noticed the past 3 quarters or so, we've continued to have better uptime performance than what we saw about 1.5 years ago, as you mentioned. And so 3 quarters is better than 1 quarter in terms of establishing a trend and seeing the fruits of the investments and all the work that have gone into the wherewithal of our vessels. And so for next year, we didn't dive into it specifically, but I do think we have a bit more confidence in the operational wherewithal of the vessels at this point in time.
Operator: That completes our Q&A session. I will now turn back over to President and CEO and Director for closing remarks.
Quintin Kneen: Liz, thank you. Thank you, everyone, and we look forward to updating you again in February. Goodbye.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.